Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter and 2009 earnings conference call. My name is Shantale, and I will be your facilitator for today’s call. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session. (Operator instructions). I would now like to turn the conference over to your host for today, Mr. Don Poirier. Please proceed, sir.
Don Poirier: Thanks, Shantale. Welcome, everyone, and thank you for joining us today on our fourth quarter and year end conference call. Our call is being webcast today at www.hecla-mining.com. Our news release issued earlier today is on the Web site and there is also a slide presentation on the same site. The presentation can be found by opening the webcast and presentation tab found on the dropdown menu list in the Investor Relations tab. The presentation is labeled Fourth Quarter and 2009 Earnings Conference Call. On today’s call, we have senior members of Hecla’s management team available. The conference call presentation and discussion will be made by Phil Baker, Hecla’s President and CEO; he’s joined by Jim Sabala, Senior Vice President and CFO; and Ron Clayton, Senior Vice President, Operations and Dean McDonald, Vice President of Exploration. Before we start, I need to remind you that any forward-looking statements made today by the management team comes under the Private Securities Litigation Reform Act. It involves a number of risks that could cause results to differ from projections. In addition to our filings at the SEC we’re allowed to disclose mineral deposits that a company can economically and legally extract or produce. Investors are cautioned about our use of such terms as measured, indicated and inferred resources and we urge you to consider those disclosures that are provided in our SEC filings. With that, it gives me great pleasure to introduce, Phil Baker, Hecla’s President and Chief Executive Officer.
Phil Baker: Thanks, Don. Hello, everyone. Thanks for joining the call. And if you’ll go to Slide #3, entitled “2009” a record year for Hecla. I’ll start there. For the past two years I’ve really been speaking about how the acquisition of Greens Creek has fundamentally changed Hecla, made us a better company, a better investment, a better place to work, a bigger contributor to the U.S. economy, as the largest U.S. silver producer and second and third largest zinc and lead producer. I think the results for this year confirms that change we had record silver, lead and zinc production, record revenue, record cash flow, third highest annual net income. And with these records in the midst of the greatest financial crisis in our generation, we were able to eliminate our debt of more than 100 million on the balance sheet and put a new undrawn credit facility in place. We were able to do all this because we have great assets that are run by my very experienced knowledgeable colleagues. So I’ll just make a few comments and then I’ll let them speak. First, we generated record cash flow and near record net income. You can see that on Slide #4 entitled “Record Cash Flow.” As a result of the production growth in all of our metals, on average, our operations generated over $300,000 a day of operating cash flow. Remember, Hecla has never seen in its history. And net income was the best in 119 years. Now, go to Slide #5, entitled “Record Silver, Lead and Zinc Production.” That compares production for 2007 and 2008 and 2009. The reason operating cash flow is so high is our production growth. We had a 20% increase in each of the metals over 2008 and almost a doubling or more in all metals over 2007. And this is all U.S. production and as I’ve said it gives us a scale that’s completely different from what Hecla has ever had. And its quality growth because of the cost profile and margins we’ve been able to maintain. If you’ll go to Slide #6, best margins in eight quarters, it shows a pretty unique picture of how our margins have grown from the fourth quarter of 2008 and are even better than the first quarter of 2008 before the financial meltdown. The same color is our cash costs, which is not the lowest in our industry is close to it. The blue bar is the margin, which is calculated by subtracting our cash costs from the average market price. For the fourth quarter, we generated almost $20 per ounce of margin. The driver of that margin growth is lower unit costs. You can see it on a per ounce basis here. Our cash costs is $7.49 in Q4 '08 to negative $2.0 this past quarter. There’s a lot of factors that go into this. One is the cost per ton, which was 18% lower Greens Creek and 5% lower than Lucky Friday Our mines have kept driving tonnage to get more bang from our fixed costs. Teams at Greens Creek and Lucky Friday have done a very good job. Our financial management reacted to the financial crisis by strengthening our balance sheet. So if you look at Slide #7, debt free and greater than 100 million in cash, you can see we started the year with 162 million in debt, with $36 million in cash and ended the year with almost 105 million in cash and no debt. In the first half of the year, we sold equity because bank lending was unworkable due to financial crisis. The second half of the year, we used cash flow to pay off the rest of the debt and build up our cash reserves. Today, with our free cash flow and this balance sheet, we are in a position to fund all that we’re thinking of doing. And despite the belt tightening we did in 2009 we continue to work on the future of the Lucky Friday. Go to Slide #7, Lucky Friday Reserves. We have talked for some time how our drilling was confirming better material as we go deeper that will further improve the already good economics of the 67-year-old mine. And you don’t mine 67 years, by the way, Lucky Friday just processed its ten millionth ton. You don’t mine 67 years of the economics that are already good. This graph shows the reserves of the last 13 years of Lucky Friday. We doubled this reserve this year, if you consider what we mined. And if you look back to 2003, our low point of reserves we’ve quadrupled it. These are the most reserves in the history of the mine and we think our exploration indicates that there is more at even better grades to come. So we are doing the engineering and planning for the development of a shaft that will go at least to the bottom of our current resource, the 8,000 level. We’ll make a formal decision later this year, when we have the costs and schedules adequately engineered, but we’re already moving muck and making some long-term procurements to be ready to go. So the Lucky Friday is going to continue to be a flagship mine for Hecla for decades to come. This mine is pretty unique in the mining industry, to have an operation that will at least operate the better part of a hundred years. I’m going to turn the call over to our team, and let me start with Jim to talk more about the financials.
Jim Sabala: Thank you, Phil. On Slide #9, we detail quarterly net income for the year. As you can see we showed steady progress throughout the year. During the fourth quarter of 2009, we reported net income of $32 million compared to a net loss of 36.7 million in 2008. Income applicable to common holders was 28.7 million in the fourth quarter of 2009 compared to a loss of 40.7 million in last year’s comparable period. I would like to cover a few items that impacted Q4 results. On Slide #10, we show revenues for the quarter, which were $88 million, nearly triple the 2008 Q4 level of 31.2 million. This is due primarily to two factors. One is metals prices. During the fourth quarter of 2009, prices averaged $17.58, $1102 per ounce of silver and gold respectively, while lead, zinc prices have reached $1.04 and a $1.01 per pound. This has greatly improved over fourth quarter 2008 levels, with silver and gold averaging $10.20, and $795 per ounce for silver and gold, and lead and zinc averaging $0.56 and $0.54 per pound respectively. In addition, differences between provisional payments for our metal shipped in prior period, but settled in Q4 also had a positive impact. In the fourth quarter of 2009, we reported positive price adjustments of approximately $8 million as a result of rising prices compared to negative price adjustments in 2008’s fourth quarter of $8.6 million. Also in the fourth quarter of 2009, we reported a gain on the sale of shares we held in Aquiline Resources were $4 million. On the expense side during the quarter, we made provisions to close operations of $4 million related to our environmental obligations at Grouse Creek and an Idaho related to additional scopes of work to be completed at those sites. In the fourth quarter, G&A was $4.2 million higher in 2009 than for 2008s comparable period, which is a result of a reduction in incentive compensation experienced companywide during the fourth quarter of 2008. Interest expense this year declined by $5.8 million from the level reported in 2008s fourth quarter. This is a direct result of our having repaid in full, the $161 million of debt that was outstanding at year-end 2008 And finally, we recorded an adjustment to our deferred tax asset of $7.1 million during the quarter, associated with the reduction of the valuation allowance carried against that asset. This is a direct result of our estimated ability to utilize accumulated net operating loss carry-forwards in future years and is a reflection of the increased profitability we experienced in 2009 in our outlook for the future. Currently, we carry an expected net deferred tax asset of $45.6 million. Now, I would like to comment on our cash flow and liquidity, as set forth on Slide #11. During the fourth quarter, operations generated $63.1 million of operating cash flow. Capital expenditures were only 6.1 million and we received 4 million from the sale of the Hecla Mine common stock mentioned earlier. So operating cash flow less CapEx and investments was $61 million. As mentioned earlier, we fully repaid the remaining term debt of approximately 38 million in the quarter, along with related interest swaps of $800,000, which resulted in net cash flow after debt repayment of $20 million. Taking this all into account, Hecla finished 2009 in the best shape it has ever been in. The Company has $105 million in cash and no bank debt. During the fourth quarter, we put in place a $60 million revolving credit facility, which remains undrawn. Consequently, we now have $165 million available to pursue our growth strategies. And with that, I would like to turn the call over to Ron Clayton to talk about operations.
Ron Clayton: Thanks, Jim. Phil and Jim spoke of several key accomplishments the company achieved in 2009. Rather than discuss numbers you’ve seen, I want to put some color on the operational things that enabled those accomplishments to happen. Slide #12 contains examples of some of the things I’ll talk about. At Greens Creek, we continued to improve our approach to production, development and backfill, better coordination of these unit operations is maximizing mine production and improving utilization of our mill capacity. We continued to improve our training programs, reducing employee turnover and increasing productivity. These improvements drove production to reach new heights at lower costs, allowing us to take maximum advantage of the grade, metals prices and generate the significant cash flows you saw on Slides #4 and #11. We extended the mining life at Greens Creek again in 2009, adding an additional year of new reserves. Very strong argument can be made that 2009 was the best year in more than 60 years the Lucky Friday been in production. Records were set for monthly, quarterly, and annual mill throughput. The quality and quantity of the concentrates produced were better than any year in the mines history and our great control programs drove higher mill feed grades. We were able to lower our costs in 2009 by about 5%. Drilling increased the oil reserve to the highest level in the history of the mine and we’re well along in designing the infrastructure that will extend the mine life for at least the next two decades and metal production levels in the range of 125% to 140% of 2009 levels. Looking to the future, the improvements to be made at both mines are allowing us to dedicate some of our talent and capacity to developing new ideas in safety, production, exploration and simply continuing to improve our business. Our safety programs continue to perform at levels that are leading the industry, but this is not good enough for us, so we’ll continue to focus and improve in this area. The Company produced more silver, lead and zinc than at any other time in the history at the very low costs we’re known for. We’re able to do this because our operating folks have been very successful over the last several years in improving the efficiency, the efficient extraction of our ore bodies and maximizing the use of our infrastructure capacity, driving higher revenues, lower costs, and resulting in improved margins, Phil spoke of in Slide #6. In fact, the results of these operational successes can be seen in nearly every slide in today’s presentation. We believe the foundational improvements we made in 2009 and over the last several years are sustainable. With that, I would like to turn it over to Dean for a discussion of exploration.
Dean McDonald: Thank you, Ron. With renewed exploration expenditures in the second half of 2009, a number of exploration projects were advanced, but the most positive news is the 77% increase in the reserves at the Lucky Friday to the 7000 level, and the increase in Hecla’s reserves to 140 million ounces of silver, as shown in Slide #13. As I have described in earlier conference calls, drilling continues to expand and refine the high grade central and eastern areas from 7000 to 7900 levels at the Lucky Friday. But a great illustration of how the 30 being at the Lucky Friday has expanded in the last two years is to look at Slide #14. The longitudinal view of the 30 vein, where the NSR values have been contoured. Not only has the resource boundary been extended to the 7900 level, but the high grade area represented in red has been expanded each year, with closer space drilling. Another indication of the continued success at Lucky Friday is Slide 15, which shows the deep drilling in the third quarter and fourth quarter of 2009 subsequent to the last resource estimate. Not only do we have intersections up to 85 ounces per ton silver at 7850 level, on the 30 vein, but we also have other outstanding intersections, including 37.9 ounces per ton silver over 14 feet in the 60 vein and 19.3 ounces per ton silver over 17 feet in the 70 vein. This is further confirmation that high grades continue to 7,900 level and will likely further to depth. Although total silver reserve tons and ounces at Greens Creek increased from last year, there was a 5.6% drop in grade. A number of factors contributed to this decline and include remodeling of the 9A Northwest West, and 5250 zones, with greater density of drilling, as lowered grades by further constraining high grade silver zones. Higher metal prices have increased the NSR value and allowed lower grade material to be classified as reserve. The greater emphasis of the life of mine plant on long-haul scoping is more dilutive, which gives more tons at less grade. In order to correspond with the Lucky Friday reserve procedures and time table, the cutoff for drill information at Greens Creek was changed to June 2009 from inclusion of drill data to year-end. Consequently, new reserve numbers at Greens Creek for 2009 are based on six months of drilling rather than one year. The drills are churning again in Mexico and the near-surface holes at Penascote, as shown in Slide #16, are confirming near-surface oxide silver mineralization, with calcite veins and stock work in conglomerate rocks. This is a broad and locally oxidized target that has all the hallmarks of an open pit mining opportunity. Results from drilling during the fourth quarter include several shallow inner sets, including 10.2 meters, containing 164 grams per ton silver and 8 meters containing 34 grams per ton silver. The most southerly hold, PD10 had a thick zone of silver mineralization consisting of 60.6 meters containing 21 grams per ton silver. This interval contains several higher grade zones, including 4.2 meters containing 113 grams per ton silver, 0.94 meters containing 350 grams per ton silver and 0.35 meters containing 890 grams per ton silver. This increase in silver grades indicates that the upflow zone or source of mineralization is likely further to the south. Drilling has recently begun to identify this upflow area. At the San Juan silver joint venture, we have an inferred resource of 37 million silver ounces with base metals. We, along with our partners, Emerald Mining & Leasing, and Golden 8 Mining anticipate approval of our five year exploration plan of operation that allows for drilling of all of the primary and secondary mineralized structures identified in the district to-date. Surface drill programs will also be starting in the Silver Valley of Idaho in the coming months. With that, I will pass you back to Phil for concluding remarks.
Phil Baker: Before we take questions, I have, I guess, one final comment. Greens Creek and Lucky Friday are extraordinary U.S. mines because they are long-lived, low-cost, generating significant production with a cash flow to continue our reserve and production growth. When you look at the 2009 numbers, we generated 115 million in operating cash flow and about 95 million of that came in the second half of the year. And we expect 2010 to be at least what we did in 2009 and the conditions are similar to the second half of the year, then substantially more. So we’re increasing our exploration spending to about 18 million this year and we’ll reinvest about 50 million to 60 million in the mines capital projects. That’s split about 50/50 between Greens Creek and Lucky Friday. I’m convinced that these investments, combined with the valuation of new opportunities will continue the growth in reserves, production and cash flow that we generated over the last three years. So, Don, let me turn it back over to you.
Don Poirier: Thank you very much, Phil. Shantale, can you please instruct and organize the questions for the next portion of our call?
Operator: Sure. (Operator instructions). And your first question comes from the line of Kevin Barnes [ph] of Apseroga Capital [ph]. Please proceed.
Kevin Barnes: Good morning, gentlemen. Congratulations on a good year. My first question is here for Jim, just a quick check the box. Based on your production, cash cost guidance for the year and with the current for metal prices, is it correct to think that you guys with cash pay your convertible preferred dividends in 2010 to avoid further dilution for your common holders?
Jim Sabala: Yes, I’m going to leave that to our board of directors to discuss dividend policy and the method of payment as determined by them. So I’m not going to preempt their decision.
Kevin Barnes: Okay, very good, understand. And not sure who’s on the call today, but just wanted to welcome, David Sienko and the Hecla team, Phil, in your 10-K filing, I notice you highlighted David’s prior M&A experience is something as useful to Hecla as you guys continue on your growth profile. With 165 million of funds available, can you give a little more detail, and color on what kind of specific M&A growth initiatives are consideration, if there’s any timing that you can share at this time.
Phil Baker: Sure. David’s last name is Sienko, is how he pronounce his name.
Kevin Barnes: Apologies about that.
Phil Baker: No, no, not a problem. Look, when we evaluate how we might grow, we really divide the world into silver assets and gold assets and we focus our attention on both because we think we have operating expertise with respect to both types of assets. And we think with gold assets, there has been a lot of exploration done over the last 30 years and so we think there’s a lot of opportunities in the gold space. But we narrow our focus when we think about gold too. Frankly, smaller type operations, operations that we can use a lot of our underground mining expertise. So, so we’re looking at those. And we’re limiting ourselves with those to assets that sit in Canada, the U.S., and Mexico. When we think about silver assets, we’re thinking much more broadly than that. And we would like more size and scale associated with the silver assets. And so, we consider all assets in the Americas. There isn’t really a country we wouldn’t at least consider going into in North and South America, and again, we’re looking for scale, size on silver assets.
Kevin Barnes: Very good, that sounds great. Best of luck with this coming year.
Phil Baker: Thank you very much.
Operator: Your next question comes from the line of Anthony Sorrentino of Sorrentino Metals. Please proceed.
Anthony Sorrentino: Hello, everyone.
Phil Baker: Hi, Tony.
Anthony Sorrentino: Would you break down the 50 million to 60 million and expected capital cost and 18 million and expected exploration spending by property for 2010?
Phil Baker: It’s about half and half on the capital, between the Lucky Friday and Greens Creek. And majority, gosh, almost three quarters of the capital of the Lucky Friday is going into tailings facility that really sets the infrastructure up for tailings capacity for really decades to come. With respect to exploration, about 5 million is spent at Greens Creek. Another 4.5 million or so is spent on the Silver Valley, including the Lucky Friday and then about 3 million each for San Juan and Mexico. There’s just a little bit of administration, other costs.
Anthony Sorrentino: All right. Will the eventual increase to Lucky Friday production come from mining a deeper, higher rate or also from an expansion of infrastructure to increase throughput?
Phil Baker: Yes, it’s really just higher grade material. We would anticipate mining at a similar rate to what we mine today. We obviously will look for opportunities to increase throughput, but that’s not what we’re banking on. We’re really just seeing the material at a higher grade. I think, Ron, you had put in your presentation, what, 125% to 140% increase in production. Now, we’re still in the final stages of evaluating how much it’s going to cost to build the shaft and how long it will take. And we’ll announce that when we finish our work, but we’re very excited about the growth that we’ll see in production from the deeper material because the fixed costs aren’t going to change. And so you’ll see not only production go up, but you’ll see costs come down.
Anthony Sorrentino: Okay, very good. And have you negotiated new smelting and refining charges?
Phil Baker: For this year, we have not. That process is really starting in the next two weeks or so, and it will take what better part of a month, maybe two months to get resolved.
Anthony Sorrentino: Okay, very good and congratulations on the great results.
Phil Baker: Yes, thanks for your support.
Anthony Sorrentino: You’re welcome.
Operator: Your next question comes from the line of Richard Radhill [ph] private investor. Please proceed.
Richard Radhill: Hi. I just was curious, now that you’ve paid the preferred dividends and arrears up, will common dividend be in the near future?
Phil Baker: Richard, at this point, we are not budgeting to do anything with respect to dividends. And like Jim mentioned on the preferreds, that’s a question that the board considers and we take that up regularly. In fact, I would say just about every quarterly board meeting that we have. But it’s a decision they would take. I will say that I think while we have grown substantially, I will suggest to you that we need to grow a bit further to be able to put in a dividend that we would view as being sustainable.
Richard Radhill: One of my reasons for asking is that, some of us think it might come down some of the shorting on the stock.
Phil Baker: And that’s something we would certainly consider in that evaluation.
Richard Radhill: Okay, thanks.
Phil Baker: Thank you.
Operator: Your next question comes from the line of Steve Butler of Canaccord Adams. Please proceed.
Steve Butler: Hello, good afternoon, guys, and congratulations on the nice Lucky Friday reserve increase. As you had alluded to along the way with great updates throughout the year, the reserves go down now to 7000 level, is that correct?
Phil Baker: That’s correct.
Steve Butler: Yes, and so resources go down, extent to about what approximate level?
Phil Baker: 7900, 8000.
Steve Butler: Okay. And how I reconcile guys the fact that other mineralized material of 12.6 million tons containing 90 million ounces of silver, again it’s perhaps more than just illustrative perhaps on that one long section on Slide #14, where you show the 30 vein because, of course, I can’t imagine that there’s an incremental 90 million ounces in that simple 30 vein down to 7900 level. So am I missing something? And is it other veins, other areas on the property that contain other or the so-called mineralized material, just trying to reconcile where vast number about other ounces are.
Phil Baker: Steve, you’re absolutely right. The 30 vein is merely one vein. And that’s been the vein that’s been our focus of attention. But there is other material on all the other veins. Gosh, there’s about, we started vein 5 and go through what, vein, 100 –
Jim Sabala: 120, I think. Go by tens for the most part, but occasionally, there’s a five in there.
Phil Baker: Yes. So there is a whole series of other veins and certainly one of the challenges that we will have over time is figuring out how to access and mine those other veins in an efficient, effective manner. So we got lots of great news. We’ve got lots of great challenges that will allow this mine to do even more than what we’re currently envisioning of 30 vein. Ron, do you want to add anything to that?
Ron Clayton: No, other than we have mined the intermediate veins, often, in fact, we’re mining in a little bit rate now, but generally have not been more than about 10% of the total production. They are narrower, not as long. We can make money off them, but we can’t make the same amount of money we do off the 30 veins. That’s why we concentrate on the 30 veins.
Dean McDonald: Steve, this is Dean. The other thing we’re seeing is that the 40 vein, the 60 vein, the 70 vein are becoming very well developed at depth as well. And so in time as we infill drill those areas you could see those come into the life of the mine.
Phil Baker: I would just take you back to the comments that Dean had made, in his prepared remarks, talking about the widths of the grade that we were seeing on those other veins. So I guess stay tuned for us to try to figure out what we got and how to mine it.
Steve Butler: And so what’s in the stay tuned context, so how long do we have to wait for maybe your formal feasibility study wrapping your heads around it formally in terms of plans?
Phil Baker: We’ll certainly talk more about what we see the economics of things to be as the year goes on. We’re not going to rush into making a formal decision in the locking down the amount of capital and the schedule for it until we’ve had a chance to fully wet what it would take. So we’re not in any rush, having said that, we’re in a rush to actually do work on the ground. And so, we’re sort of taking smaller steps as we go and in fact, we even are running drift out to where the hoist room will be and we’re getting everything in a position to be able to put the big push on, we would expect in 2011.
Steve Butler: And second last question, sorry, Phil, the reserves down to 7000 feet, what did you guys assume internally assume to justify accessing those reserves? Did it have to be wins or could it simply be ramp development deeper and therefore maybe what incremental capital beyond the tailings item and the half of the 50 million to 60 million is assumed for CapEx to access these reserves as book today without adding additional resources?
Phil Baker: Yes, we did an evaluation of a number of different methods of reaching down to that 7000 level. All of them would have been economic at the right prices, but the wins is by far the most attractive of the alternatives. And so we are firmly focused on that wins alternative. With respect to the tailings, the overall footprint that we have, I forget, how many years, 20 something years, that sound about right, there will be incremental capital for the various lifts that we have to do, but it’s the lion share of the capital that we have to spend in any one year is being taken care of over this year and the past two years. And we actually have a very large land package where we can continue to expand that tailings facility beyond what we’re envisioning for the next 20 plus years. There’s lots of room. And we’ll continue to try to grow that position. Because we’re right now looking at this mine, probably operating 80-plus years and, gosh, I think we all think this could be an 100 year mine.
Steve Butler: Okay. It might exceed my life time as an analyst. I hope anyway.
Phil Baker: Probably.
Steve Butler: Probably. We’re working on. But, last question, sorry, Dean, just to clarify, you said the cut-off for reserves at Greens Creek was actually June '09, is that correct?
Dean McDonald: The cut-off of the drill data was June.
Steve Butler: Okay.
Dean McDonald: Typically at Greens Creek, they would carry it through to the end of the year. And so this is a one-year anomaly. And it’s really to have the reserve life of mine development that time table for both mines coinciding.
Ron Clayton: The other important point there is this way we’re doing our new life of mine plans and our annual budgets are being done on fresh reserves rather than reserves that are a year old and behind by a year on drilling.
Steve Butler: Right, okay.
Ron Clayton: It’s refining much more accurate.
Steve Butler: Thanks, guys.
Phil Baker: Thank you, Steve.
Operator: (Operator instructions) And your next question comes from the line of Chris Lichtenheldt of UBS. Please proceed.
Chris Lichtenheldt: Good afternoon.
Phil Baker: Hi, Chris.
Chris Lichtenheldt: Hey, how are you doing?
Phil Baker: It’s morning here.
Chris Lichtenheldt: Oh, that’s right. Yes, Good morning, and congratulations on the progress in 2009. Things are shaping pretty well. I just had a question going into next year. If you could maybe elaborate a bit on the cash flow side given perhaps by mine and maybe the grades you’re expecting to see?
Phil Baker: We typically have not gone into that level of those specifics. So I hesitate to respond. I guess I would suggest and you guys help me out, grade wise we’re not looking at anything that’s dissimilar to what we have now at both mines. And the ratio of production between the two mines is going to be roughly the same. we got a pretty steady ship here. We’ll continue to try to up our tonnage at Greens Creek and we’ll continue to try to do more long hole. Yes, depending on where we’re mining, grade will come up. So you’ll see something similar to what we had in 2009. And then when we think about byproduct credits and prices, we try to be a bit conservative. But, frankly, the volatility that we’ve seen in the base metals prices were not necessarily being too conservative would be my guess. Do you agree with that, Jim?
Jim Sabala: Yes, I think the relevant range that we’ve used because of the forecast is range that you’ve seen experienced in the last five months, six months of actual metals prices.
Chris Lichtenheldt: Okay. One more question then maybe. Just I’m looking at the cash flow guidance, I think it was $1.90 to $2.25 using prices where they’re today, looking at the fourth quarter, the cash flows were well below that. Prices were similar. Obviously, the realized prices were better. So the difference from the fourth quarter going into next year on the cash cost basis mainly just the positive price adjustments that you saw in the fourth quarter?
Phil Baker: That’s right. It’s positive price adjustments and it’s just that we experienced what, $0.80, $0.85 lead and zinc within the last 10 days and that makes us a little bit skittish to be too aggressive.
Chris Lichtenheldt: Right, okay, great, thanks a lot.
Phil Baker: Thank you, Chris.
Operator: Your next question comes from the line of Mr. Peter Abramson [ph], private investor. Please proceed.
Peter Abramson: Okay, great, thanks. I had a question on Greens Creek. With increased exploration dollars is the company hopeful or can gold reserves be expanded in Greens Creek or is it mostly a silver type of mine?
Phil Baker: The land package we have, there’s about 30 square miles and we have certainly seen all four of the metals that we currently produce plus there’s certainly indications of copper there as well. So I guess I would suggest to you that our focus is on the precious metals, so silver and gold, but, we won’t thumb our nose at whatever else we might find. Dean, do you want to add anything?
Dean McDonald: Because of the stone mineralization that we look for, it’s usually a combination of the four or five elements that Phil mentioned. There are clearly areas where the sale of mineralization is more precious metal rich. And so certainly when we identify those areas, we will try and accent our exploration in those areas. But I couldn’t tell you when I look at the property where I would anticipate more gold than silver. That really comes out in the details once you’ve discovered the main zone.
Peter Abramson: Okay, so the ratio of gold, silver production and are reserves at the Greens Creek would expect to remain the relative range that it has historically?
Phil Baker: Certainly, with what we’re looking at within the mine that’s probably not a bad assumption, but you just don’t know on this big land package, we just don’t know what we’ll find.
Peter Abramson: Okay, thanks. Next I had the quick balance sheet question on the liability side, the accrued reclamation and closing costs, about 125 million in long-term liabilities. What’s the, I guess, the breakout between Lucky Friday and Greens Creek from a cash flow basis, is there any cash liability there while the mines and operation or is that something that tail when the mine closed that’s when the cash get spent, so, for like Lucky Friday, it stays open another hundred years, there’s no real cash liability from that account?
Phil Baker: With respect to that account, that’s right, but before we do a heck of a lot of environmental work as we go. Do you want to answer specifically his question, Jim?
Jim Sabala: Yes, these will be round numbers because I don’t have the detail right in front of me. But when we look at that liability, you can break it down under three major captions, four major captions. One would be the ultimate reclamation liability at the Greens Creek line. And if memory serves me right, that’s about a $50 million obligation. We chip away at that doing some concurrent reclamation every year, but a majority of that will be done when the mine life ends, which is, who knows, 20 years, 30 years, and 40 years. Hence, at the Lucky Friday itself, the amount of the accrual is relatively nominal. We do have other accruals for our total State of Idaho liability, which are about $65 million.
Peter Abramson: At the superfund or that environmental?
Jim Sabala: Yes, yes, it’s everything to do with North Idaho. The third major component would be about $13 million, if I recall, to the Greens Creek line, which is in active reclamation, for which we’re spending money every year and the remainder would be little small projects that have had, been on the books for some period of time and it just takes a long time to get all the agencies to sign off on the work that’s been done to close out those projects.
Peter Abramson: Okay. That leads into my last question on the environmental in North Idaho. Are there any important dates coming up in the next couple years or any expected cash liabilities from I guess that reserve?
Phil Baker: No, there’s not anything scheduled, the litigation has been stayed and it has not yet been picked back up by the court. So it was stayed as a result of the Asarco bankruptcy. So that has been completed, so we would anticipate that it will be a scheduling conference at some point this year, but nothing’s been scheduled yet.
Peter Abramson: Okay, thanks for your time, and congratulations on a good year.
Operator: At this time, there are no further questions. I would like to turn the call back over to management for closing. Please proceed.
Phil Baker: All right, well, thanks very much for being on the call and certainly if you have any further questions, feel free to give Don a call and we appreciate your attention to Hecla. Thanks.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect at this time. Have a wonderful day.